Operator: Good morning. Welcome to the CEMEX Fourth Quarter 2024 Conference Call and Webcast. My name is Charlie and I'll be the operator for today. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. [Operator Instructions]. And now I will turn the conference over to Lucy Rodriguez, Chief Communications Officer. Please proceed.
Lucy Rodriguez : Good morning. Thank you for joining us today for our fourth quarter 2024 conference call and webcast. We hope this call finds you well. I am joined today by Fernando Gonzalez, our CEO; and Maher Al-Haffar, our CFO. As always, we will spend a few minutes reviewing the business and outlook for 2025, and then we will be happy to take your questions. As you know, in connection with the announced asset sales in 2024, we closed the sale of our Guatemala and Philippines operations as well as the remaining minority stake in New York. Our Dominican Republic operations remained accounted for as discontinued operations as of the end of 2024. This divestment was closed last week on January 30. Our reported results assume the sale of these operations for the full year and year-over-year like-to-like variations are for the current footprint. And now I will hand it over to Fernando.
Fernando Gonzalez : Thanks, Lucy, and good day to everyone. I'm very pleased with our achievements in 2024, which represents [indiscernible] year in the corporate transformation we ambition in 2020. Setting the backdrop early in the year, we achieved our long-running goal of recovering our investment-grade rating. While we remain committed to additional credit improvements in the near term, this achievement provides a runway to more aggressively pursue our growth strategy and lay the foundation for a sustainable shareholder return program. Our leverage ratio stood at 1.8 times and its lowest level since the outbreak of the global financial crisis. With the restoration of our financial health and several years of progress on our growth strategy, we took the first step on a shareholder return policy with the announcement of a progressive dividend program in March 2024. We expect to expand this in the future years with opportunistic use of our $500 million share buyback program. Through the execution of $2.2 billion in announced divestitures in 2024, we significantly rebalanced our portfolio towards developed markets with more consistent and attractive growth potential. Approximately 90% of our EBITDA is now generated in the U.S., Europe and Mexico. Divestment proceeds will free up additional resources for future organic growth opportunities and small- to medium-sized acquisitions focused primarily on the U.S. in organization solutions and aggregates. As we move towards introducing inorganic growth to the portfolio, we expect to gradually reduce our strategic CapEx spending. Net income for the year reached $939 million, a record level in recent history. On CO2 reduction [ph], we continue making progress on profitable decarbonization, reducing our scope 1 and Scope 2 CO2 emissions by 15% and by about 17%, respectively, compared to 2020. In addition, as we look towards developing the new technology necessary to decarbonize beyond 2030, CEMEX-led consumption was elected to receive EUR157 million of EU innovation funding for carbon capture at Rudersdorf, which is expected to become CEMEX's first net zero plant. We are optimistic about the future. In the last three years, we have undergone a cyclical downturn in demand in several of our key markets, most notably in the U.S. and Europe. While we have been able to more than offset this decline with pricing, cost efficiencies and growth investments, this is an opportunity for the future as demand returns to these markets. We expect volumes to begin recovering in the U.S. and Europe this year, which sustained demand growth over the medium term. While we are confident on the medium-term fundamentals in Mexico, we have limited visibility on 2025 outlook with a difficult comparable base FX headwinds and new administration setting into office in Mexico and the United States. In this environment, we are focusing on the variables we can control. While we have achieved a significant improvement in our consolidated profitability metrics, reaching the higher operating efficiency levels EBITDA margins and free cash flow generation, there is more to be done. We are launching our project cutting edge, which encompasses a three-year $350 million cost program anticipated to deliver EBITDA savings of $150 million in 2025. Maher will elaborate on this initiative. After an exceptional year in 2023, we delivered strong results in 2024. In fact, last year, we posted the second strongest sales and EBITDA. We also achieved the highest free cash flow after maintenance CapEx in 2017. Adjusting for the extraordinary payment of the Spanish tax line. As you know, the guidance we provided at the beginning of each year is based on prevailing FX rates. Adjusting for significant FX volatility experienced during the year, we achieved our 2024 initial guidance of a low to mid-single-digit EBITDA growth. In 2024, in a muted volume environment, we focus our attention on costs as well as optimizing production with increases in operating efficiency in key markets. As a result of these efforts, consolidated EBITDA was relatively stable in 2024 and grew by 3% in fourth quarter. EBITDA margin was also resilient and grew in fourth quarter, driven by positive price/cost dynamics in all regions. Free cash flow benefited from an impressive turnaround in working capital. Maher will provide additional details on our working capital efforts. Consolidated prices increased by 3% in cement and ready-mix and by 2% in aggregate during 2024 reflecting higher price levels in most markets. While pricing gains have moderated compared to recent years, they more than offset cost inflation despite an adverse demand environment. Inflation in our products decelerated in 2024 to a low single-digit percentage. Going forward, our pricing strategy remains unchanged, aiming to more than recover cost inflation in our markets. In 2024, volumes were stable to lower in all regions. Importantly, volume decline has moderated sequentially in fourth quarter in literally all regions. EMEA continued its second half recovery trend with high single-digit growth in cement and aggregates in Europe, while Middle East and Africa reported double-digit growth in ready-mix and aggregates in fourth quarter. In the U.S., weather continued to impact volumes in fourth quarter, largely due to the devastation caused by Hurricane Milton in October in Florida. In 2024, Mexico posted relatively stable volumes as pre-election demand dynamics were offset by slower construction activity in the second half. During the year, we saw strong price cost dynamics with pricing contribution to EBITDA more than compensating for decelerating input cost inflation. This positive effect was offset by lower volumes and adverse FX dynamics resulting in a role flat performance and stable margin. Importantly, in fourth quarter, volume impact to consolidated EBITDA moderated as volumes stabilized. Growth investments continue supporting EBITDA performance. On the cost side, we benefited from a 13% decline in energy costs, mainly driven by lower fuel prices. During the quarter, this favorable energy environment continued driving higher EBITDA and margins. We expect both pricing dynamics and energy costs to remain a tailwind into 2025. I However, we expect FX rates to be a headwind, mainly in our operations in Mexico and to a lesser extent, in Europe, particularly in the first half of the year. Importantly, our FX hedging strategy mitigates the impact of a strong dollar and protect our leverage ratio. EBITDA in our urbanization solutions increased 4% in 2024 with margin expanding by 1.1 percentage points. Positive performance is mainly driven by growth in higher-margin businesses, such as construction and demolition waste recycling, motors and admixtures. Since 2019, EBITDA in these three segments has grown at double-digit rates. Our urbanization solutions portfolio addresses the changing landscape of the construction industry focusing on sustainability and climate resiliency solutions. On fusing action, our successful decarbonization efforts in 2024 continue to rely on existing profitable technology as we look to abate before relying in carbon capture technology. We have reduced our Scope 1 and Scope 2 CO2 emissions by 15% and by about 17%, respectively, compared to 2020. A reduction that historically would have taken us 16 years to achieve. Based on our progress, we are well on our way to reach our 2025 and 2030 SBTI verify CO2 emission targets. In this decade to deliver, we continue innovating around carbon capture and other technologies to drive the carbonization beyond 2030. As I mentioned earlier, a CEMEX led consortium was selected to receive EU innovation funding for carbon capture at do which is expected to become our first net zero plant. And more recently, our Knoxville cement plant was awarded funding from the U.S. Department of Energy to develop a pioneering carbon capture removal and conversion test center. These awards are a recognition of our commitment to advancing the carbonization solutions in our industry. Finally, we are very pleased with the adoption of our lower carbon family of products, Vertua. In 2024, we increased the adoption rate by 7 percentage points of Vertua cement and ready mix. We have already surpassed our 2025 adoption target of 50%, with more than 63% of cement volumes and 55% of ready-mix volumes have in Vertua attributes. Over the last four years, consolidated EBITDA has shown solid growth with a 9% annual growth rate driven not only by our organic performance, but also by our growth strategy. Close to 50% of our $3.1 billion growth investment pipeline has come online, contributing $344 million in EBITDA in 2024. These projects are delivering average IRRs of 35% or an EBITDA multiple of about 4 times. These projects offered important synergies with our existing portfolio on customers in our key markets. We expect this pipeline to contribute approximately $700 million in EBITDA by 2028. With close to 50% coming from investments in the U.S. As we continue developing the strategy and relying more on small- to medium-sized acquisitions, we expect overall return metrics to be somewhat tighter. And now back to you, Lucy.
Lucy Rodriguez : Thank you Fernando. In our operations in Mexico, despite a challenging volume backdrop in the second half, EBITDA for the full year increased by 3% with margin improvement of almost 1 percentage point. EBITDA declined in the fourth quarter due to a tough prior year comparison base where we posted the highest fourth quarter EBITDA on record. Mexican demand had two speeds in 2024, with cement volumes growing 6% in the first half and declining 7% in the second half post-election. In the fourth quarter, we continued to see volume deceleration aligned to third quarter behavior in cement and continued outperformance in ready-mix. Ready-mix volumes remain supported by the formal sector in the Northeast and Central regions. Depreciation of the Mexican peso resulted in an EBITDA effect of $48 million in the quarter and $52 million in full year results. As Fernando explained, our dynamic FX hedging strategy is paying off, mitigating impact on our leverage ratio. In January, we announced price increases of approximately 15% in cement and 12% in ready-mix to offset rising input cost inflation. While we are optimistic on medium-term growth prospects, we expect in 2025 to see the typical decline in public construction spending of the first year of a new government. The infrastructure sector continues to face a difficult year-over-year comparison due to unusually high project execution pre-election. While the 2025 federal budget contemplates new projects such as rail and port renovations, highway and rural road construction, it will take time to ramp up the spending. We continue to see ongoing projects at the state level, however, such as the San Miguel de Allende – Dolores Highway, the Metro and Monterrey in Los Mochis Airport to name a few. While industrial sector demand continued to grow in the fourth quarter, our ready-mix order book did experience some disruption late last year. We believe this sector will resume its growth once there is more clarity around U.S.-Mexico trade policy. After many years of the subdued formal housing sector, we expect growth driven by the recently announced national housing program, where the government is targeting 125,000 homes to be built in 2025. This will, of course, take time, but we are encouraged by the fact that some potential projects are already under discussion. The combination of high remittances, high employment levels, increased wages and lower inflation should support the self-construction sector going forward. Similar to 2024, we expect this year will be a story of two distinct tabs. The year-over-year volume comparison and FX rate differential create headwinds in the first half with more favorable performance expected in the back half. In 2024, our operations in the U.S. have been affected by extreme weather events with four major hurricanes and a deep freeze in Texas. We estimate these events were responsible for an EBITDA impact of approximately $38 million. Adjusting for these weather events, EBITDA would have increased 3% for the whole year. The most significant event occurred in October with Hurricane Milton in Florida, our largest market with an estimated impact of $17 million in the fourth quarter. Largely due to the hurricane, cement and ready-mix volumes declined 3% in fourth quarter, while aggregates declined 7%. On a sequential basis, while cement and ready-mix prices remained stable in the fourth quarter, aggregate prices increased by 2%. Importantly, even with lower volumes, full year EBITDA was stable, while margins expanded due to cost optimization efforts, lower fuel prices and imports. Investment in maintenance over the last years is paying off with higher operational efficiency, allowing us to substitute more profitable domestic production or imports. For 2025, we expect demand to be driven by infrastructure as transportation projects under the Infrastructure Investment and Jobs Act continue to roll out. Peak spending years for IIJA are expected to be 2025 and 2026. And indeed, the new high reached in December construction start data backs up this projection. While mortgage rates have remained at high levels, we believe that the more cement-intensive single-family housing starts bottomed out in third quarter 2024. While there is substantial upside in housing over the medium term, we expect residential to stabilize at current levels in 2025. The industrial sector should continue to benefit from large investments in our states as manufacturing projects roll out. In addition, we expect significant demand from the construction of AI and powered data centers in our key states, which have been the primary recipient of such investment to date. We see further upside going forward from Microsoft's $40 billion spending program in the U.S. in 2025, as well as the $500 billion Stargate program recently announced by the Trump administration. In 2025, we expect volumes, pricing and continued optimization efforts to drive results. Over the medium term, we continue to believe the U.S. offers the best risk-weighted returns. Our investment focus remains on the U.S. where we intend to expand our aggregates business which already accounts for 35% of U.S. EBITDA and further develop our urbanization solutions portfolio. We are pleased with our results in EMEA and where we are seeing continued improvement in our European operations. In fourth quarter, EBITDA grew by an impressive 43%, while margin expanded by 3.6 percentage points. EBITDA growth and margin improvement was driven by volumes, operational leverage as well as a one-off adjustment in our UK operation. Europe's EBITDA increased by 30%, marking the second consecutive quarter of growth and with all countries in Europe showing year-over-year cement volume growth. We continue to see Eastern Europe benefiting from EU-funded infrastructure spending, while Western Europe shows signs of recovery against an easier comparison base. Prices for our three core products for the full year more than offset decelerating cost inflation, particularly in energy. On climate action with a 5% reduction in the CO2 emissions in 2024, CEMEX Europe continues delivering record levels of decarbonization. Our region is very close to reaching both the European Cement Association and CEMEX's consolidated 2030 CO2 emissions targets. Finally, in the Middle East and Africa, EBITDA improved due to better pricing dynamics in Egypt and increased construction activity in Israel. For 2025, we expect continued EMEA volume recovery driven by Europe's improved construction activity with a low single-digit increase for cement and ready mix and stable volumes in aggregates. Our operations in South Central America and the Caribbean once again delivered positive results in 2024 amidst a challenging demand backdrop with growth in EBITDA led by positive pricing dynamics. Cement and ready-mix prices grew 4% and 11%, respectively, offsetting cost pressures and leading to a stable EBITDA margin. The formal sector continues driving demand in the region with large infrastructure projects, such as the Bogota Metro, in which CEMEX has been awarded more than 80% of total volumes and the fourth bridge over the canal in Panama. Our urbanization solutions business is expanding rapidly, posting record EBITDA growth of 36% in 2024 with a margin expansion of 5.3 percentage points. For 2025, we expect a mid-single-digit and low double-digit increase in cement ready-mix volumes, respectively, as formal construction continues growing on the back of infrastructure projects. And now I will pass the call to Maher to review our financial developments.
Maher Al-Haffar : Thank you, Lucy, and good day to everyone. As Fernando mentioned earlier, we are very pleased in delivering strong results on the back of a phenomenal 2023, regaining investment-grade rating and advancing on our decarbonization agenda in line with our 2030 goals. Despite volume headwinds, our full year 2024 EBITDA margin showed remarkable resilience and was flat to last year at 19%. This performance was supported by our pricing strategy, which outpaced inflation in our business as well as cost containment and business optimization efforts. 2024 free cash flow after maintenance CapEx adjusted for the payment of the Spanish tax line was slightly higher than the prior year, driven by a $215 million divestment in working capital. This improvement is the result of targeted management actions to increase efficiency of our assets across the organization. On the cost side, fuel costs on a per ton of cement base has declined by 23% and driven by lower fuel prices, the increased use of lower cost and lower carbon fuels and our continued reduction in clinker factor. For 2025, we have closed hedges for almost 70% of our annual spend related to electricity, diesel, freight, pet coke and natural gas. Net income for 2024 was $939 million, driven primarily by a lower effective tax rate and the gain from the sale of operations in Guatemala and our minority stake in the ores. Given the volatility in the Mexican peso, I would like to highlight our ongoing Mexican peso hedging strategy, fully covering our operating cash flow from our operations. That effectively lowers the volatility of the exchange rate at which we convert pesos into dollars for tenors of up to two years. The benefit of the strategy in our consolidated net debt reached $215 million in 2024 including conversion gains on vessel denominated debt. Our leverage ratio stood at 1.81 times in December 2024 due primarily to divestments, FX hedging strategies and free cash flow. We are pleased to announce the launch of our project cutting edge, a project to capture recurring savings by changing the way we execute key business processes and accelerating efficiencies in our operations. After several years of post-pandemic business normalization and portfolio rebalancing, this project was developed during last year and response to recent years of high inflation, supply chain disruptions evolving market dynamics and greater availability and scalability of emerging technologies. As Fernando mentioned, we expect this program to provide recurrent yearly EBITDA savings of $350 million by 2027. In 2025, we expect EBITDA savings of approximately $150 million, with some additional benefits in working capital. Project cutting edge targets several key elements of how we do business, including supply chain, logistics, procurement, operations and others. We are redesigning, simplifying and automating many of our current processes and workflows, leveraging artificial intelligence and data analytics. Our supply chain management will be enhanced end-to-end leading to an improved client and supply of interface and experience. In operations, we will accelerate our progress in optimizing cement and ready-mix networks, enhanced skill mix, continue improving cement efficiency in the U.S., along with other SG&A initiatives. In addition, project cutting edge contemplates important savings at the free cash flow level for 2025 and onwards. We will update you on the program's progress as we move along in its implementation. And now back to you, Fernando.
Fernando Gonzalez : We are optimistic about growth in the U.S., EMEA and South Central America and Caribbean in 2025. As I explained earlier, visibility for Mexico is currently low, but we believe we face a challenging landscape, both in terms of demand in the first year of a new administration and peso FX rates particularly in the first half of 2025. After a very volatile year for the peso, assuming December 2024 FX rates, this will imply a depreciation of close to 20% in the first half of 2025. After incorporating $150 million in EBITDA savings from Project cutting edge as well as the peso headwind we are guiding to flattish EBITDA performance for 2025. It is important to note that our guidance assumes a low single-digit EBITDA growth, excluding FX impact. We anticipate volume growth in all regions aside Mexico. Full volume guidance can be found in the appendix. We expect that pricing will continue to more than compensate for decelerating input cost inflation, particularly in energy. On a consolidated basis, we expect continued tailwinds with total energy cost per ton of cement produced declining by a high single-digit rate in 2025. With regards to free cash flow items, project cutting edge incorporates certain efficiencies, which we are reflecting in our 2025 guidance as well as additional free cash flow savings for future years. For 2025, we are guiding to a reduction in maintenance CapEx, taxes as well as cash interest expense versus last year. In total, we expect approximately $500 million in savings in free cash flow after maintenance CapEx, representing about 65% growth versus 2024. And I'm even more pleased to tell you that now that we have regained our financial footing, we have more opportunities in future years to build on this success. With more cash from operations available as well as proceeds from $2.2 billion in divestments, we have resources to pursue more aggressively our capital allocation priorities. First, on growth. We still have a $1.6 billion of accretive projects in execution stage in our growth pipeline. 2025, is a year where we expect to have the largest spend and we are guiding to $600 million in strategic CapEx this year. You should expect, however, that over the next few years, spending on growth CapEx will cycle down while our small to midsized acquisition strategy ramps up. Asset sale proceeds are intended to be recycled for acquisitions, focusing primarily on the U.S. market. This will take time to identify, win and execute transactions under our disciplined M&A framework. In the interim, this cash will be used to reduce debt. Additionally, we intend to direct a portion of our operational free cash flow to reduce debt and lower our financial burden to better reflect our improved credit standing. We remain committed to reach our leverage target of 1.5 times in the near term. Finally, cash from operations allow us to increase shareholder return both in terms of delivering on our progressive dividend commitment as well as eventually taking opportunistic use of our share buyback program. And now back to you, Lucy.
A - Lucy Rodriguez : Before we go into our Q&A session, I would like to remind you that any forward-looking statements we make today are based on our current knowledge of the markets in which we operate and could change in the future due to a variety of factors beyond our control. In addition, unless the context indicates otherwise, all references to pricing initiatives, price increases or decreases refer to prices for our products. And now we will be happy to take your questions. In the interest of time and to give other people an opportunity to participate, we kindly ask that you limit yourself to only one question. [Operator Instructions]. And the first question comes from Ben Theurer from Barclays.
Ben Theurer : Good morning, Fernando, Lucy, Maher, first of all, congrats on the strong finish still. So the question I wanted to ask really comes back to what Fernando started to elaborate on as it relates to capital allocation? And maybe help us a little bit in terms of prioritization. Clearly, you have the layout of the $600 million on the strategic CapEx, but there's obviously a lot left over that could go either into what you said the dividends or the potential share buybacks, but also M&A at some point. So as we think about the onset and the opportunities in 2025, where do you think the largest opportunities lie within your capital allocation framework that you've just introduced? And how should we think about the dividend itself from a what does progressive growth mean? So that would be like the key question I have. And then if you could give me just a onetime answer on what the one-off was in your UK operations. Thank you.
Maher Al-Haffar : Yeah. Maybe I'll take the -- Ben, thank you very much for your comments. And maybe I'll take the first stab of answering the question, and then Fernando can help me out if I miss out on anything here. I think the first thing to think about in terms of capital allocation going forward is the emphasis that we are putting on further free cash flow generation. And I think you heard Fernando's comments about how we're expecting to be improving our free cash flow generation for this year, by close to $500 million, which is very important that translates to a huge change in conversion of EBITDA to free cash flow for the year, and that should go towards capital allocation as well. And I don't want to guide beyond '25, but certainly psychologically strategically, that's the approach. And the other thing that is also important to mention is that this year is probably going to be the highest -- it's going to be probably the peak year in terms of strategic CapEx spending. And going forward, we are probably going to be much more biased towards focusing on small and medium M&A activity. Which should be as accretive as the investments that we have made and should be contributing to the bottom line kind of immediately as we make that. So those two points are very important to keep in mind. Today, as we've discussed, we believe the growth investments are the most accretive use of our cash. The majority of the investments are generating in excess of 30% IRRs. They have payback periods of three to four years. And as you know, we've already completed close to $1.5 billion in the last few years, and that is contributing for this year, at least close to $350 million of EBITDA. And this is being done at a very attractive effective multiple of close to 4 times, which compares favorably to where we're currently trading at in the market. Now the investment pipeline is, of course, much more than that. We're expecting almost an equal amount to be executed by '28, which should take us to a close contribution of about by 2028. Now in terms of priorities, I mean, clearly, because of these return dynamics, we will continue to invest in growth and M&A. Having said that, we do believe that our interest expense, when we take a look at our peers and our leverage compared to our peers, we think that we have a lot of upside there. Both in terms of reducing leverage, reducing interest expense. I mean we're almost double. If we take a look at our interest expense as a percentage of EBITDA we're almost double our global peers. And so that's something that we would like to bring down. Leverage will probably a turn away from global peers. So that's something that we will be working on. And of course, as we achieve all of that, we will definitely take a look at returning capital to shareholders, either in the form of dividends as we have done and will continue to do, or eventually exercising share buybacks under our program. I don't know, Fernando, you want to add anything to that?
Fernando Gonzalez : Well, maybe -- thanks, in, for your comments. Maybe just commenting that you can most probably perceive that in the last few years, we have been adjusting our, let's say, our strategies and the use of capital. If you remember, and we constantly communicate what we are planning to do. And we started in 2020 with the idea of using a portion of our free cash flow to make some growth investments bolt-on businesses that are related with our own portfolio with high synergies, short paybacks and the likes. And of course, we didn't have the muscle to do ever we think, in the first year, but we started building it. And now we have a pipeline of very attractive projects of that type of investments. But at the same time, we have been improving our balance sheet. And this year -- I mean, last year in our CEMEX Day, we did communicate that we wanted to move from that focus to a more equilibrated one in terms of, we want to continue deleveraging, and we mentioned another half a turn in a couple of years, but we wanted to start a progressive dividend and at the same time, continue with these investments. But in these investments, as Maher said, and I think it's just natural, we're going to be moving from mostly growth CapEx to -- and we will continue doing that, but we will add some small to midsized acquisitions. So it's -- the growth portfolio is going to be evolving into that equation more M&A and a figure that is going to be lower on the type of investments we have been doing in the last four years. So that's the only clarification I have.
Lucy Rodriguez : And Ben, maybe I can take your question on EMEA. We had great results in EMEA in the fourth quarter. We're seeing that European recovery that we were expecting both EMEA EBITDA as well as European EBITDA was up in the 30% area. Now a portion of that, we did mention was because of a one-off legal case that was resolved during the quarter, a commercial case, and that contributed about $10 million of the $50 million incremental EBITDA we saw both at the European and EMEA levels, just to give you some sense of magnitude of that. So hopefully, we've answered your questions.
Ben Theurer : Very clear. Thank you very much.
Lucy Rodriguez : And the next question comes from Carlos Peyrelongue from Bank of America. Carlos?
Carlos Peyrelongue : Thank you, Lucy. Thank you for the call for. My question is with respect to pricing. You mentioned some remarks in the call. Just wanted to see if you could provide some more color on your pricing strategy including the U.S. and Europe. And in the case of Mexico, you mentioned an increase in the double digits. I don't know if you could comment how the traction is doing in Mexico would be great as well. Thank you.
Maher Al-Haffar : Yeah. Carlos, thank you very much for your question. I mean I think our pricing strategy going forward has not changed really from what we have followed in the last three years, frankly. And that is -- our pricing strategy has always been to be calibrated to what's happening on our input cost inflation, which is very important. And of course, when input cost inflation was at hyper levels as we saw. I mean -- and you saw that over the last three years, our cumulative inflation total cost was close to 40%. On the other hand, we were able to implement very successful pricing strategy in virtually all of our markets exceeding that performance. Now of course, in the last few months, we have definitely seen a slowdown in our input cost inflation in all of our core businesses. And accordingly, I think the whole market has calibrated pricing increases accordingly. Now we do anticipate to continue our pricing strategy when we compare price increases compared to cost increases to be above that. So we will always target a positive gap between price and cost. And we believe that the announcements that have been made in both the U.S. and Mexico are targeted towards that. And of course, we're very optimistic that we will be able to get those positive increases. I don't know if you're aware, but we've -- we had pricing increases at a national level, both in Mexico and in the U.S. markets. And in the U.S., it's a mid-single-digit increase. In Mexico it's a double-digit increase across all sectors, both in bulk and bags. And we're cautiously optimistic or constructive about those pricing increases because I don't think anybody in any of our businesses has a sustainable lower cost curve, frankly, that could behave in a different way than we are. Now one thing that you have to consider, of course, is that these increases and announcements are very local market specific, and they may -- so when you take a look at what others are doing, there's definitely a distinct difference between where we are and the specific market dynamics, supply demand dynamics, other potential movers in each one of those markets, right? So it's very important to take that into consideration. Fernando, I don't know if you want to --
Fernando Gonzalez : Yeah. I want to complement marker in terms of, again, clarifying what has been the dynamics or what has been the trend in prices and inflation in the last three years I'm intentionally using '22, '23 and '24 because if you remember, we started seeing very high levels of inflation in '22, at least in our cost inflation at the levels of between 20% and 22%. And in '22, we started moving our pricing strategies on a very simple basis. Our pricing should at least assure that we can maintain margins. So prices of each and every product should be able to achieve that. In 2022, we didn't do it because inflation came very fast and you cannot change prices just in a jiffy. So it takes some time. So in '22, our pricing strategy didn't recover inflation. But then in 2023, the opposite that happen, our pricing strategy because of the tailwind and all the efforts that we're applying in '22 were like between 6 and 8 percentage points higher than inflation. That was 2023. What happened in 2024 is that the gap between inflation and prices although disappeared, but good enough to continue maintaining and slightly increasing our margins. Now even though price increases now are much lower than the 20%-something we did in '22, the basis of the strategy is still the same. We need to assure that we maintain or increase if market dynamics allow our margin. So you can imagine, we have detailed all the information needed for our sales force and managers to assure that every time we think on a pricing strategy, this idea of maintaining or increasing margins is assured. So I wish we could increase prices 20% with an inflation of, I don't know, but that is not necessarily doable. But you can count that we will continue insisting that our prices at least assure maintaining our margins.
Carlos Peyrelongue : Thank you, Fernando. Thank you, Maher.
Fernando Gonzalez : Thank you, Carlos.
Lucy Rodriguez : Sorry. The next question comes from Alejandra Obregon from Morgan Stanley. Ali?
Alejandra Martinez : Hi, good morning. Thanks for taking my questions. It's actually a follow-up on all the prior questions on the capital allocation. So I just want to make sure that I understand that this $600 million of strategic CapEx, the -- I mean if we apply this sort of like 3, 4 times multiple, it's around $100 million, $150 million of incremental EBITDA, is this coming on top of your EBITDA guidance? And if you can sort of talk of where should we expect these incremental EBITDA be coming from? And just on the buybacks and dividend comment that you mentioned, just to make sure is happening this year? Like how are you thinking of dividends and buybacks for 2025 for 2025. Thank you.
Maher Al-Haffar : Thank you, Alejandra. Yeah, I mean, look, the guidance that we've given essentially takes into consideration all of the capital allocation decisions that we have discussed. So there is no there's no additional things to add to that. But in terms of what is the additional amount going to? I mean, obviously, we are increasing strategic CapEx from last year by a bit. Last year, we think we underperformed our guidance. This year, we're definitely looking at a slight bit of an increase. As you remember, last year was close to about $500 million. This year, we're guiding $600 million. The investments are really targeted into three areas: in that order of importance. One is expanding cement capacity and bolt-ons. And then climate investments, which we think are doing two things: number one is making sure that we execute on our decarbonization road maps as well as improving margins in some of those businesses. And then the third bucket is aggregates replenishment. In terms of geographic focus, I mean, we're going to continue to be biased towards the U.S. market, followed by Mexico and the U.S. And so I think -- but there's no additional contribution that has not been included in the guidance that we've given so far in the comments that we made before we started the Q&A. Now in terms of dividends and buybacks, I mean, all I can tell you is to, again repeat what Fernando said is that we do aspire, we have indicated that our dividend should be progressive. Of course, dividends will have to be proposed and approved at our AGM, which is going to happen next month. So I can't, frankly comment on that. In terms of share buybacks, definitely, that is an area that we're always looking at. I mean, it's not something that we take off the table or put on the table on a -- from a strategic basis because of the valuation that we have for the company today. So we're always looking at that. We have the ability to do up to $500 million, as you know. And we're always calibrating and to the extent that it makes sense to do it, we will do it. And 2025 is no different in that than prior years, frankly.
Lucy Rodriguez : Maher, maybe if I could just add a little bit on the cadence of the contribution of our growth investments of our growth portfolio because I think that was part of Ali's question. Right now, our growth portfolio contributed about $350 million so far. We expect that by 2028, that number will be $700 million. So it will literally double by that point. And for this year, included in the guidance that we're giving is an $80 million in incremental EBITDA we expect from our growth investments. And of course, when you look at our growth investment pipeline, it's about $3.1 billion, $3.2 billion in total and half of that has already been completed. So hopefully, that helps.
Alejandra Martinez : That was very clear. Thank you, Maher and Lucy.
Lucy Rodriguez : The next question comes from Gordon Lee from BTG Pactual.
Gordon Lee : Hi, good morning. Thank you very much for the call. It's a bit of a housekeeping question, but linked to free cash flow, and it has to do with the Spanish tax penalty or fine. It seems to me, and I just want to confirm that it wasn't fully paid in 2024 that it would take a little bit of that will slip over to 2025. So I just wanted to confirm that, that was the case. And so that that's in your cash taxes guidance for 2025. And I guess the second related question is sort of 15 months later, do you still think that, that extra $100 million that you provisioned on the income statement in the fourth quarter of last year. Is that something you may reverse? Or is that something that you're thinking of leaving there for the moment? Thank you.
Maher Al-Haffar : Yeah. Thanks a lot, Gordon. Nice to hear from you. I guess, just for clarity for all the listeners, I mean, cash taxes for the year last year was $870 million. That included about $370 plus related to the Spanish tax assessments for a number of tax returns over the years. And this year, as you heard from Fernando, that the expectation for cash taxes is $450 million. Now Gordon, in terms of provisions, last year, we did reverse $387 million of the tax provision that we took on three different tax matters. The biggest one, of course, is the tax returns from 2006 to 2009. And then as you recall, we had two other open tax matters in Spain that went from 2010 to 2018. We also reached an agreement with the tax authorities there, and we reversed some of that provision. So the total reversal was about $300 million -- a little bit over $380 million. We have $200 million remaining covering the additional to $200 million of the larger tax penalty from '06 to '09, which we expect to occur over the next four years. And as we pay those tax fines, we will reverse the provisions in our income statement. Do I hope that answer the question?
Gordon Lee : Yeah, just to be clear, the $450 million guidance for this year includes whatever portion of that penalty you would expect to pay, right? That's included there, you're not going something store.
Maher Al-Haffar : Yeah, it does. Yes, it does. Exactly, yes.
Gordon Lee : Got it. Super, thank you very much.
Maher Al-Haffar : Thank you.
Lucy Rodriguez : Okay, and the next question comes from Adrian Huerta from JPMorgan. Adrian
Adrian Huerta : Thank you, Lucy. Fernando and Maher, congrats on the results. My questions are regarding the U.S. first on pricing. If you can give us a little bit more details on what happened during the year regarding pricing across your different markets within the U.S. I mean the overall price increase that you had was less one versus what peers have reported for the full year. So I wonder if you were not able to push price increases in coastal markets, et cetera. So if you can just provide more details on that. And the second one is, if you can just explain the -- why the expectation on lower aggregate volumes for this year in the U.S.?
Lucy Rodriguez : Great. Thanks, Adrian. Maybe first on pricing. We've reported low single-digit pricing increases for 2024. We were successful with mid-single-digit increases in most of our portfolio. But as you know, pricing is very local in the United States. So in about 75% to 80% of our volumes, we were able to get mid-single-digit pricing. Where we had a very difficult time was specifically in Texas, and of course, in Texas in the first six months of the year, right, when pricing normally takes place. There were -- there was quite a bit of dislocation with volumes down in Texas, Houston, in particular, is a large import market, and you had a lot of imports literally stuck on ships offshore that had to be sent to where they needed to go fairly quickly when there were openings in weather. So I think that, that really delayed pricing increases in the U.S. We have seen a recovery in volumes in Texas, very importantly in the back half of the year. But really, the issue for us in the past year was specifically in Texas. And had a lot to do with weather in the first six months. We're hoping we don't get a repeat of a weather phenomena, but I think we're very optimistic regarding pricing increases in the U.S. and in Texas, specifically for this year. In the case of aggregates, the decline that we're guiding to largely reflects the closing of some quarries that are at end of life effectively. We have a couple of those. These are fairly low contributions in terms of profitability relative to other quarries and they are approaching end of life. We of course, are looking to invest more to substitute for these. But so far, we haven't found appropriate substitutes yet. So we think that, that will come with time with our strategy on aggregates in the U.S. Hopefully that helps.
Adrian Huerta : Yeah, thanks, Lucy.
Lucy Rodriguez : Okay, thanks, Adrian. And the next question comes from the webcast from Anne Milne from Bank of America. Question on tariffs. Could you please give us an update on the exports you currently have from Mexico to the U.S. and how this could shift if tariffs were to be imposed by Trump on all Mexican imports. If you were to redirect this production, would it be resolved within Mexico or to other destinations. So just quickly on this, I will not quickly just to answer this. First, covering it from the Mexico point of view, Mexico last year exported about 5% of their volumes to the U.S. And as you know, imports and where we import from change all the time based on the economics and where we can find the right quality and price for imports into specific markets. Our plan for this year even before there was any with of potential tariffs on Mexico, Canada and China was to reduce because of the profitability and where we could get imports was to continue to reduce those imports coming from Mexico. So just within our plan, it was to cut it to about half of Mexican volume. So 2.5% of total Mexican volumes more or less. Looking at it more from the United States perspective, again, imports have continued to decline for us. They currently in 2024, we're about 17% of total volumes. And imports coming from Mexico have been declining as well quite significantly. And the plan this year was to continue to decline. Obviously, at tariffs, we believe firmly that if tariffs are imposed within a local market on all players that, that would be positive, it would increase import parity, it would be positive for pricing. If you see a more limited tariff action in a specific market where it only applies to one or two origins of imports we think it would be fairly neutral in terms of pricing. So I hope that covers it, Anne. And the next question comes from Paco Suarez from Scotiabank. Paco are you there? Maybe I will move on then. The next question comes from Jorel Guilloty from Goldman Sachs.
Jorel Guilloty : Thank you for taking my questions. So I wanted to get a better sense of how you view the rebuilding effort for the L.A. area following the unfortunate wildfires earlier this year have any estimates on how much CapEx could take place over the next few years? And how much of it could be related to building materials. And a quick follow-up on Adrian's question, I didn't try to understand what was the key driver for aggregates demand aggregates forecast to go down in 2025 in the U.S. Thank you.
Maher Al-Haffar : Lucy, do you want to take that?
Lucy Rodriguez : Sure. Sorry, I was on mute. I’m talking. So just -- going back to the aggregates question. We have a couple of queries that are approaching end of life, which is very normal in an aggregate cycle. And what you would like to do is have new quarries that come online to replace those. But sometimes, you can't always do that in a timely manner. Our expectation at the moment is that we have a couple of quarries that are going to be closing because they're at end of life. So we won't have that production in the early part of next year. And again, just reminding everyone that our strategy in the United States is to continue to boost our aggregates, resources. And obviously, this has to be very local in nature, but we are looking at opportunities to replace these aggregates that are depleting. Okay. Did that -- was that clear?
Jorel Guilloty : Yes, yes. So it's more supply than demand.
Lucy Rodriguez : Yes, correct. Okay. And the first part of your question, if you could remind me, I'm sorry, I was so focused on the ag now, I forgot the first part.
Jorel Guilloty : Right. Just wanted to get a sense of how you view the rebuilding effort in L.A. following wildfires earlier.
Lucy Rodriguez : Look, our focus in the case of L.A. at the moment is obviously on the immediate crisis and the tires aren't out there. We have been focused on making sure that our employees are safe, that they themselves have housing, and we have had a couple that I believe have been at least temporarily displaced and also aiding our community as well. There has been a lot of disruption. I think that there have been 12,000 residents' houses that have been destroyed in this process. Just to give you some sense, in California, 50,000 homes typically are built each year. So you can see that, that will be quite impactful going forward. But at the moment, again, we're focused on the immediate crisis and we'll think about what we can do to help with sustainable construction going forward when the government and when our customers are ready to have that discussion, but they definitely aren't there yet.
Jorel Guilloty : Thank you.
Lucy Rodriguez : Okay. I think we have time for one last question. And the last question comes from Daniel Stefflon from Itau. Daniel?
Operator: Unfortunately, Daniel has retracted their question.
Lucy Rodriguez : Okay. Then I think we have time for one last question from Yassine Touahri from Onfield. Yassine?
Yassine Touahri : Yeah, congratulations for the very resilient results. I would just have a question about -- I remember in your CEMEX Day, you were mentioning about the summer of the part CEMEX and the big mismatch between the valuation of peers and your valuation. And when I look at the past 5-10 years, you've done a fantastic job at deleveraging the business becoming investment grade and finding a trajectory for growth. What do you think the market is missing when you look at your share price today? And is there anything that you can do to convince investors in the equity story of CEMEX.
Maher Al-Haffar : Yeah, Yassine, thank you very much for your question. Look, I -- we're obviously very disappointed at the current valuation of our share clearly and have been for a while. We think that -- probably the biggest contributor to that, especially since the first quarter of '24, has been kind of the expectations of what's likely to happen in Mexico more important than anything else. And obviously, in a transition year, you have demand issues, you have currency volatility issues, of course, which we have suffered from especially in the last couple of quarters. So I think the market is probably going to wait to see how that normalizes over time. We're optimistic about that. Clearly, deleveraging is going to continue to probably take place. I mean I don't know if you looked at the numbers, but when I take a look at where we are in terms of our investment-grade ratings versus our peers and the leverage levels that we are at versus our peers. We have a potential -- definitely potential upside in continuing to deleverage. And as I mentioned in one of the questions earlier, our interest expense when you consider everything, meaning including the coupons that we pay on our subordinated notes, is probably close to 20-plus percent of our EBITDA, and that's more than double than our peers. And that's a huge number of capital of free cash that can be invested in growth or can be returned to shareholders at the end of the day. And I think that's one area that perhaps either the market is not yet paying us for or is not discounting that does also probably going to happen over the next couple of years. I also think that there's definitely a discount that is being given by the market today in terms of valuation for markets like Mexico compared to the U.S. I mean on a risk-adjusted basis, I think that's -- and that's something that will take time. I mean I think the Mexican business has demonstrated phenomenal resilience. And I think that as we continue to deliver as a company and as a macro economy. And as there's more integration between Mexico and the U.S., I think the value and the risk adjustment to the earnings coming out of our U.S. -- out of our Mexican business is going to get higher. And that's when we believe that we will start seeing I don't want to talk from an investor perspective, but that's when we should see a re-rating on valuations of those earnings. What can we do in the interim is very simple, frankly, is continue to focus on doing the great things that we can do more of and taking a look at the -- and I know it sounds like motherhood and apple pie, but taking a look at some of the upsides, which as you heard from the from our cost containment effort program, which we started last year. I mean that is also going to be an important contributor to growth going forward. Again, we're not expecting the market to pay us for it immediately. But certainly, that's something that also is going to translate to growth. The other thing that is also very important for everybody to realize is that over the last three years, we had a headwind of volumes at the EBITDA level that is close to $750 million, okay? For a variety of reasons. Now I'm not saying here that we're going to necessarily recover all the 750, but clearly, there is a natural tendency or should be a natural tendency of recovering a big chunk of that over the next couple of years, at least. And so when you add all of those things together and us delivering, of course, I mean we need to continue to deliver quarter after quarter. I believe the market will see the attractiveness of the earnings that we can deliver. And hopefully, our valuation will be more realistic and aligned with our expectations going forward. I hope that your question I don't know if there's --
Yassine Touahri : Thank you so much.
Maher Al-Haffar : Thank you, Yassine.
Lucy Rodriguez : We appreciate you joining us today for our fourth quarter results. We hope you'll come back again for first quarter 2025 webcast on April 28. And if you have any additional questions, please feel free to reach out to the IR team. Many thanks. .
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day.